Operator: Good morning. And welcome to the Spire Inc. 2022 Year End Conference Call [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Scott Dudley. Please go ahead.
Scott Dudley: Good morning. And welcome to our fiscal '22 fourth quarter and full year earnings call. We issued our earnings release this morning and you may access it on our Web site at spireenergy.com under newsroom. There's also a slide presentation that accompanies our webcast, and you may download that either from the webcast site or from our Web site, which will be found under Investors and then Events & Presentations.  Before we begin, let me cover our safe harbor statement and use of non-GAAP earnings measures. Today's call, including responses to questions, may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although our forward-looking statements are based on reasonable assumptions, there are various uncertainties and risk factors that may cause future performance or results to be different than those anticipated. These risks and uncertainties are outlined in our quarterly and annual filings with the SEC. In our comments, we will be discussing net economic earnings, which is a non-GAAP measure used by management when evaluating our performance and results of operations. An explanation and reconciliation of this measure to its GAAP counterpart is contained in both our news release and slide presentation.  On our call today is Suzanne Sitherwood, President and Chief Executive Officer; Steve Lindsey, Executive Vice President and Chief Operating Officer; and Steve Rasche, Executive Vice President and CFO. Also in the room with us today is Scott Carter, President of Spire Missouri; and Adam Woodard, Vice President and Treasurer and CFO of our Gas Utilities. With that, I will turn the call over to Suzanne.
Suzanne Sitherwood: Thank you, Scott, and good morning, everyone. It is our pleasure to speak with you today about Spire's performance for the fiscal year just completed, to update you on recent developments and to share our outlook for the future. Last year, we remained squarely focused on our long term strategic priorities and commitments while being mindful of the vital role of our natural gas businesses play in ensuring a sustainable energy future. Fiscal 2022 was a year of challenges and opportunities. We collectively tackled both with equal energy. And as we close the year, we delivered for our customers while achieving strong operating performance. We reported earnings for the year of $3.86 per share, reflecting the strong performance in our midstream and marketing businesses. And at our gas utility, we met the headwinds of weather and a lower rate of return in Missouri, with a path for improvement in fiscal 2023. We continued the robust investment in our gas utilities to upgrade infrastructure, drive new businesses and advance our technology. This has led to further gains in safety, system integrity, environmental performance and overall service experience with the 1.7 million homes and businesses we proudly serve. We successfully met important challenges head on, including working to settle the contested issues in our Missouri rate review. We, along with other parties, have filed a proposed agreement. This settlement is subject to Missouri Commission review and approval, but we are pleased by the prospect for a timely resolution to the case. At the same time, we dealt with the challenges of higher natural gas costs and inflationary pressures. We continue to work hard to manage all of our costs and minimize their impact on our customer bills. In fact, part of the Missouri rate case settlement includes a commitment to enhance programs that provide support and financial assistance and customers. While it is our job to manage through challenges for our customers, I want to thank our 3,600 employees for stepping up this year and remaining focused on ensuring people have safe and reliable natural gas delivered with great service every day while supporting our communities. In fiscal '22, we also had success in advancing our midstream businesses. We remain focused on securing a permanent FERC operating certificate for Spire STL Pipeline, and we began the expansion project at Spire Storage. These are both great natural gas businesses that serve their customers in region. As we step forward into fiscal 2023, we are further increasing our capital investment plan and expanding our time horizon to 10 years. This long term commitment to capital deployment ensures our continued growth while delivering innovation and safe, reliable, sustainable energy for decades to come. Recognizing our performance in 2022 as well as confidence in our long term growth prospects, our Board of Directors recently increased Spire's common dividend by 5.1% to an annualized rate of $2.88 per share. This is the 20th consecutive year of dividend increases, which we have continuously paid since 1946. Now, I'll pass the call to Steve Lindsey.
Steve Lindsey: Thank you, Suzanne. Let me begin with an update on our very recent progress we've made on our Missouri rate review. November 4th, Spire Missouri and other parties to the case, most notably, the Missouri Public Service Commission staff and the Office of Public Counsel, followed a full unanimous stipulation agreement. As Suzanne mentioned, this is a proposed settlement of all issues in the case. From the beginning, it was our desire to settle the case in a timely manner and we are on path to do just that. The filing represents a settlement, all contested issues without a determination of each component that goes into the calculation of new rates. The elements of the pending settlement include additional annual revenues of $78 million; a pretax interest rate of return of 8.25%; resolution of the overheads issue from the last case with all costs capitalized or expensed beginning October 1st, as confirmed in our cost study approved earlier in the year; and all deferred amounts as of September 30th being recovered in rates; increased funding by Spire Missouri for various customer assistance programs with expanded eligibility. Spire Missouri has requested rates to be effective on December 26th right before the beginning of the 2023 winter season. Given that there is a proposed settlement, the procedural schedule for the rate review has been suspended. However, Missouri Public Service Commission has scheduled an on the record public hearing on the settlement this Friday. Public Service Commission could take up the matter one of the two upcoming agenda conferences later this month. In our filings for both rates and recovery of natural gas costs, we're very sensitive to the impact that higher utility bills have on our customers. We understand that any increase to build can be concerning and we want to do everything we can to help. For example, we requested that the additional natural gas costs we incurred during winter storm Uri be spread over three years to minimize the impact on our Missouri customers. And in Alabama, we share the cost savings we achieved under the cost control measure of 50% going back to the customer, recollecting our benefit over a five year period, again, to reduce the impact on customers' bills. Overall, in FY '22, we helped connect customers who are struggling more than $27 million in federal state Inspire Energy Assistance funding. Starting this month, we're expanding eligibility requirements to our dollar help program, providing additional funds to assist even more customers. Let me provide some other updates, starting with Missouri ISRS. Missouri Public Service Commission approved a $10.5 million annual increase in ISRS effective October 21st, bringing our annualized ISRS to $19 million. In Alabama, Spire Alabama and Spire Gulf each followed their 2023 budgets for the annual rate setting process under the rate stabilization and equalization mechanism or RSE. We anticipate the new rates will be effective in early December. You know our Spire STL Pipeline continues to operate under a temporary certificate while the FERC considers approval of a new permanent certificate under a court order remand. While there is no formal schedule, we believe the process will likely continue into 2023. Meanwhile, FERC issued a positive environmental impact statement last month, which clears a potential holdup in the recertification process. Let me turn to an update on our capital expenditures. Fiscal 2022, we invested $552 million with almost all of that spend going into our gas utilities. We put nearly $280 million towards pipeline replacement while investing $114 million in new business. We also continued our investment in technology, including about $55 million for the further rollout of ultrasonic meters. Midstream investment this year included $12 million for Spire Storage expansion in the fourth quarter. For FY '23, our capital investment is expected to total $700 million, reflecting higher gas utility spend as well as a substantial increase in CapEx from midstream to $150 million, mostly related to the storage expansion project. The gas utility investment this year, infrastructure upgrades account for the lion's share of our capital spend as we continue to focus on reliability and system integrity of our distribution network. We also plan to continue our robust investment in new business. Overall, we expect the majority of our utility spend to be recovered with minimal lag or reflected in earnings. We'll keep investing in innovation and technology. Our investments continue to drive further advancements in operating performance and sustainability. As you can see, our key metrics for resilience, safety and system integrity continue to show improving trend over the last five years. Employee injury rates, damage rates and leaks on our system all hit record lows. At the same time, we're continuing our progress in reducing methane emissions from our gas utility operations. These reductions support our commitment to becoming a carbon neutral company by mid-century. We hit our target for fiscal '21 to reduce emissions by 46% from 2005 levels, and we expect to see a further reduction for 2022. With that, I'll turn it over to Steve Rasche for a financial review and update. Steve?
Steve Rasche: Thanks, Steve. Good morning, everyone, and thank you for joining us today. Let's start with a brief review of results, and then I'll provide some updates as we look into 2023 and beyond. For our fiscal fourth quarter, we reported a seasonal loss of $31 million, which is $4 million or $0.07 a share higher than last year on a run rate basis. As you may recall, we had several significant events that flowed through the income statement last year, including for the quarter, benefits from winter storm Uri and adjustments for the 2021 Missouri rate order, which makes the comparison of as reported results for last year a bit difficult to understand. For the analysis here, we excluded those items to provide a better comparison and we've included a full reconciliation in the appendix. Looking at our businesses on a run rate basis. Our gas utilities typically have a seasonal loss this quarter due to reduced usage in the warmest days of summer. For the quarter, the segment lost $38 million or nearly $20 million greater than last year. As we discussed earlier this year, the '21 Missouri rate order changed the cadence of our recovery, shifting a greater share to our winter heating season and out of our fiscal third and fourth quarters. Quarter results also reflect lower margins in Alabama due to the spread of the cost control measure over a multiple year period, as Steve Lindsey discussed a few minutes ago. Gas marketing was well positioned in the Southeast this quarter and was able to capture value from its transportation and inventory positions earnings of roughly $12 million compared to a run rate loss last year. Slide 10 summarizes other key variances for the quarter, hitting on a couple of the highlights. Operation and maintenance expenses net of the pension reclass were up roughly 1% as higher marketing and utility costs were offset by lower corporate spend. Interest expense was also higher, reflecting higher short term debt levels tied to commodity costs and higher short term interest rates. Let me provide commentary briefly on our full year fiscal year '22 results. Overall, our net economic earnings were $3.86 per share, down $0.32 from last year's run rate as lower gas utility earnings were partially offset by stronger marketing results. As a reminder, the gas utility results reflect the headwinds of; first, a lower rate of return in Missouri from the '21 rate order; and second, warmer weather in Alabama that was not fully mitigated as we discussed last spring, offset in part by higher op system sales in the second half of the year. Our marketing earnings in the current year of $27 million includes a $6.2 million benefit from the favorable settlement of Uri commercial disputes, and the remaining earnings roughly equal to last year. Turning to our outlook. We remain confident in our long term per share growth target rates of 5% to 7%, driven by our rate base growth. And speaking of rate base growth, we have updated and extended our capital spend plan for a full 10 years, reflecting the long term nature of our utility investment plan. This updated plan totaling $7 billion supports our safety, reliability and sustainability goals and is covered by good regulatory recovery mechanisms. Our plan for '23, as Steve mentioned, is $700 million, including our expansion investment at Spire Storage. We've also updated our financing guidance, reflecting the Spire Storage expansion and a steadily decreasing level of equity required beyond 2023. We also updated our debt forecast, including operating company debt and refinancing activity to support ongoing investments. Two quick additional financing updates; first, Spire Alabama and Spire Gulf issued a total of $205 million of long term debt last month; and secondly, our liquidity is well positioned heading into the winter heating season. Turning to fiscal year '23 operating forecast. The summary here provides some context on the headwinds and tailwinds we see as we enter our new fiscal year. Let me hit on a few points. Pending regulatory recovery, we expect to benefit from new rates in all jurisdictions and recovery of overheads in Missouri. We have plans in place to address higher commodity costs and inflations overall. And we expect that our costs will increase net of our mitigation efforts by approximately 4% next year. We are well positioned from an interest rate perspective for long term rates given our ongoing hedging program. As noted earlier, we do anticipate higher short term borrowing costs as we work through this period of higher non-deferred gas cost, a portion of which is recovered through rates. Finally, I would also remind you that we anticipate that Spire Storage expansion to have a dilutive impact on our earnings per share during its development period in fiscal years '23 and '24. For 2023, we estimate that impact to be $0.09 per share, reflecting both interest on borrowings and the equity issued in advance of the budget completion in late fiscal 2024. Our project financing plan targets a 50-50 cap structure, and it is our intent to separately disclose this impact each quarter and exclude it from our net economic earnings calculations during the development period. Those are a few of the items we focus on heading into 2023, and we'll have much more to say on guidance after we complete the regulatory process in Missouri. In summary, we enter fiscal year '23 in a strong position, operationally and financially. We're focused on delivering for our customers, communities, investors and all stakeholders, and we look forward to updating you on our progress as the year progresses. With that, let me turn it back over to you, Suzanne.
Suzanne Sitherwood: Thank you, Steve. In closing, we delivered another successful year. We managed through a number of challenges and have emerged in fiscal 2023 poised to grow and deliver even stronger overall performance for our customers, communities and investors. We look forward to updating you and others on our progress and successes. Thank you for your continued interest and investment in Spire. We're now ready to take your questions. Thank you.
Operator: [Operator Instructions] Today's first question comes from Richard Sunderland with JPMorgan.
Richard Sunderland: I appreciate the disclosures on the 2023 outlook slide. I wanted to dig in a little bit more to the commentary around inflation, higher interest rates, higher gas prices. If I heard you correctly, there was a 4% cost increase you anticipate net of mitigation efforts. Is this inclusive of all of those headwinds and across all the businesses? Maybe if you could parse that a little bit more into the component pieces and how you expect that to impact the bottom line? Is it fair to assume that 4% is the drag you're anticipating on the bottom line? That would be helpful.
Steve Lindsey: Rich, there was about five questions buried in there. So let me see if I can get them all straight, and I'm looking at Adam across the table, he'll help out, too. Yes, as we looked at everything we have ongoing, and let's keep it all in perspective. We generally report reduced O&M year-on-year or it's up inflation, including this year, as you can look at the material in the earnings presentation. And we have ongoing investment and plans in place, technology and process improvement in order to continue to stay well below inflation. As we look at the current year, we've actually been able to offset most of those early headwinds and all companies are dealing with in the market. But as we look forward, we do see some headwinds that we won't be able to offset. When we look at our utility, which is really where our focus was in looking at the impact of inflation, that number is 4%, give or take, 0.5%, it really -- we're not that precise, but I figured I'd just give you a marker to point to, and it's really driven by cost that we can't control. We know -- we have a pretty good feel where our employee line is going to go in terms of salary costs. It's really the other things that tend to be spiring a lot faster. And that is a net number of the things that we are already doing and will continue to do in order to drive down cost. Adam, what else did you want to add to that?
Adam Woodard: Rich, it's a good question. I would agree -- that is kind of a net number for us. And there are other puts and takes there as we've said about before. But I think 4% on an O&M basis, they're obviously talking about interest. There is obviously rise in interest rates, well, I think we've seen most of the rise there on a short term guide. And we feel pretty good about where we sit from a long term interest rate standpoint.
Richard Sunderland: And maybe switching gears to the storage side, and I'll try to keep this below five questions in my question here. But the $0.09 drag for '23. How do you see that trending in '24? Again, I appreciate this will be stripped out of operating earnings. And has your 2025 outlook changed at all for storage in light of these other factors?
Steve Lindsey: No. As a matter of fact, our outlook on stories hasn't changed one bit from when we made the announcement in July. And you're right, we've disclosed the drag for the current year at $0.09 and that's really interest cost on the borrowing side and then the dilution of the equity side in order to keep our cap structure at the spot that makes the most sense for that project. When you get into '24, we will actually see some of the capacity being used and useful through that winter of '23, '24. And so we should expect and you should expect that dilution to decrease a little bit, because we're starting to see some margin pull-through. It's really when you get to '25 after the project is complete and all of the capacity is available, that all of the financing costs are more than offset, and we're getting return in the mid-teens that we talked about earlier for that project. And I would add, and Steve mentioned it in his prepared remarks, we are on track, both from a cost and a timing perspective with the project. We're early in the project, but we're wrapping up the early prep work that we could do before the winter season hit us in Wyoming, and we're very pleased with their progress.
Richard Sunderland: And maybe one last one from me. Just the rate case settlement, obviously, great progress there, and still a little work to be done in terms of a final commission order. Any thoughts on kind of the backdrop feeding into that process, your ability to reach a settlement now? How do you feel about where you've gotten and your outlook in the states coming off this agreement?
Scott Carter: As Suzanne mentioned, we're happy to be at this point of the process. We had filed the case resolve. Obviously, many of the deficiencies coming out of the last case and the timely resolution is important to us. Getting all parties on board and having a unanimous stipulation that the commission can consider is a positive for us. And we expect the commission to take that up and take seriously all the parties' interest that got settled through that collaboration through that negotiation process. So we thought we're well positioned from that standpoint of fixing the overheads issue that was created, clawing out of some of the cost of capital issues and updating the capital we've deployed since the previous case. So it puts us on a pretty solid footing as a place from which to grow and continue to operate.
Operator: The next question comes from Christopher Jeffrey with Mizuho Securities.
Christopher Jeffrey: Just wondering as far as your expectations for bad debt expense, and it seems like comparing your PGA for the upcoming winter from two years ago, bills are up pretty significantly. I'm just kind of wondering how you're thinking about that and maybe how much relief do you expect once the year reportion of the bills roll off? And I guess if you could confirm, is that -- this is the second heating season of that or the first of the three?
Adam Woodard: On the PGA side, we did file Missouri, an updated PGA increase, that will be approximately a 9% increase on bills. We, I think, have done a good job trying to keep that to a minimum and the supply team is really has done a great job working through our hedge program and such. So yes, as Steve has mentioned in his remarks, we really have leaned into the customer impact portion of this and continue to do so, but we're pleased to keep that last increase on a more limited basis. And then similarly, not too long -- a little bit longer ago, we have had some steady increases in Alabama as well, that's in the mid-teens or so on a year-over-year basis, but again, continue to look to keep that under control.
Scott Carter: I would add to that. Just the highlights we gave and where we're putting additional funding towards those low income assistance programs. We are in the second year of trying to work through the yearly cost and the discount that we're carrying over there. But as we work through this case, we're really focused on those customer impacts, and those mostly impacted at the more challenging income levels. And so we believe those tools will be helpful in helping manage through keeping customers on keeping them served, and help us manage bad debt a bit.
Christopher Jeffrey: And then maybe just following up on the rate case settlement. I don't think there are many details as far as the authorized ROE or the cap structure. Are there any kind of puts and takes away from it, like maybe as far as the resolution on the short term debt issue or should we expect to hear more from it after Friday, when the case kind of goes before the commission?
Scott Carter: It is a black box. So inherently, it doesn't spell out a lot of those elements. We did include a cost of capital that will be used for ISRS cases going forward. You kind of think of that as a proxy for the cost of capital, again, it's not spelled out in the case. But we feel like we've made large progress on capital structure, short term debt issue, permanent financing relative to permanent capitalization. And so we feel like we're, again, back in a good place. The number gets us where in the range we need to be and then it establishes a reasonable return compared to other returns in the state that we've seen in other cases that we're going to work against and deliver on the ISRS deployment going forward.
Operator: The next question is from Matt [Davis] with [Cowen].
Unidentified Analyst: So just I got two, maybe three questions. Can you just walk through -- did I hear you correctly that the dilution from the storage investment will not be included in guidance, is that correct?
Steve Rasche: We obviously have provided the impact. So in the absolute sense, we've given you the number but we are going to exclude it from net economic earnings. But we'll keep a light shining on that because that's our commitment to you and the other investors is to make sure that we outline what the impacts are but also what the benefits are once we get through the development.
Unidentified Analyst: And as we think about rolling forward, now you've given some of the puts and takes going into '23. How should we think about the roll forward of your 5% to 7% long term earnings growth commitment? And where that should be, I guess, based from?
Steve Rasche: It's a great question, Matt, and we'll address that when we launch guidance, and we know that's one of the boxes that we need to check, let us get through the Missouri regulatory process, and then we'll be able to be a bit more forthcoming in what our expectations are going forward.
Unidentified Analyst: And then just lastly, in terms of on the cost pressure going into 2023. Should we imply from that, that your earned ROE should be a little weaker in '23, given the 4% year-on-year cost, or do you still expect to earn your allowed return?
Steve Rasche: We plan in a dynamic environment and 4% is a little bit higher cost than we've seen in the past, and it's a lot higher than we've actually delivered, because we have long term plans to keep that down. So it does present a little bit of a drag. I don't think anybody on the call finds that surprising because we know that, that's pretty much where all businesses are right now. We wanted to be forthcoming with everybody about the challenges that we see going forward. But we will continue to work hard to offset as much of that as we possibly can.
Unidentified Analyst: And I know I said two or three, but I'm going to ask one more. In terms of the equity that you need, do you think that you can do this via an ATM, is it manageable enough that you wouldn't need additional discrete issuance?
Steve Lindsey: Yes, that's right.
Operator: [Operator Instructions] Our next question comes from Selman Akyol with Stifel.
Selman Akyol: I just wanted to go back to the CapEx and $7 billion, specifically on Slide 12. You've got $550 million at the utility, I guess that's up from $528 million or so this year. So that's 4%. But then as I look into fiscal year '24, you have it accelerating up 11% to $610 million, and then it grows gradually from there. Can you maybe just talk about what you're seeing in '24 that takes your utility up at that rate?
Steve Rasche: Part of it is, Selman, the cadence of underlying projects. As you know, we have ongoing projects that are the upgrade of the system, but then you have chunky projects on top of that that tend to fall in discrete time periods. And there are a couple of chunky projects when we get to fiscal year '24. So that's really the explanation. We're also ramping up a little bit more of the ultrasonic meters as we get into '24. So there's a combination of factors. We have obviously very detailed plans because we need to be planning six, 12, 18 months in advance to make sure that we have the right supplies and materials in order to meet our goals.
Steve Lindsey: I think it's the continued capital plan that we have relative to our infrastructure upgrades, our new business, which runs in the 15% range. Steve mentioned a few of the innovation projects, such as ultrasonic meters. But then I think we really start to pivot to other parts of our systems, such as transmission, integrity, reliability, system improvements, pressure improvements. And so really, as you think about kind of your -- and your temp plan, this is just the next priority in terms of the way we're thinking about long term investments. So it's really -- I think it's a building of where we've come to this point relative to -- for the most part, it's been infrastructure upgrades on bare steel and cast iron, it's the next transition for us.
Selman Akyol: And then can you just remind us or any way to quantify how much of this is going to fall under ISRS you think?
Steve Lindsey: And again, that's kind of where we start to pivot. The ISRS primarily covers, as you know, bare steel and cast iron replacement in Missouri. And so those are almost very specific to those type of infrastructure upgrades. I think over time, we'll look for opportunities to really take that type of philosophy and look at all of your integrity management programs and go spend some time with commissions saying these are the priorities. Let's help understand and lay out a longer term plan for these because in some cases, they're more about system reliability and being able to make sure that we have pressure and we have gas during the coldest times of the year, it’s not necessarily just replacing old and aging pipes. So it's a combination of quite a few things. Again, ISRS is specific and we continue to have that on both sides of the state here in Missouri. And we'll look for potential mechanism down the road, but those will be early discussions. And again, I think it's more around the long term planning for your system and being able to sit down and prioritize.
Steve Rasche: And Selman, another way to look at it, if you step back and look at the totality of our capital spend and how much of that is being recovered with minimal regulatory lag or is driving new business, it's about 75%. So it's in the same category that we've been operating in for a number of years.
Selman Akyol: And then I guess, one time, there was some consideration of potentially looking at building another pipe on the west side of the state. And so should I just assume that's completely off the table over this next 10 years?
Scott Carter: We continue to look at, as following winter storm Uri, obviously, our Kansas City region, West side of the state was more impacted than the East. And largely because we had STL in place that brought us a diversity of fuel supply from those more impacted regions from -- actually from less impacted regions. And so as we look at that, we're looking at everything -- all of our supply portfolio for Missouri West. And that includes a number of things from pipelines to storage, even the movements of where the population centers are and the load centers is necessitating us taking a good hard look at that. So we're tying that together with kind of our infrastructure replacement, make sure we're building a backbone that's going to support that future growth and the future needs and demands, while also providing that safety an environmental benefit in the short run. But then we're looking upstream from that. So that's still all in light and in analysis. So more to come as we land what our needs are there.
Operator: [Operator Instructions] Being no more questions in the queue, this concludes our question and answer session. I would like to turn the conference back over to Scott Dudley for closing remarks.
Scott Dudley: Thank you, everyone, for joining us. We will be around throughout the day today for any follow-ups, and we look forward to that. Take care. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.